Operator: Welcome to the Progressive Corporation’s Investor Relations Conference Call. This conference call is available via an audio webcast. Webcast participants will be able to listen only throughout the duration of the call. In addition, this conference is being recorded at the request of Progressive. If you have any objections, you may disconnect at this time. The company will not make detailed comments in addition to those provided on its quarterly report on Form 10-Q, Shareholders’ Report and Letter to Shareholders, which have been posted to the company’s website, and will use this conference call to respond to questions. Acting as moderator for the call will be Clark Khayat. At this time, I will turn the call over to Mr. Khayat.
Clark Khayat: Thank you, and good morning. Welcome to Progressive’s Third Quarter Conference Call. Participating on today’s call are Glenn Renwick, our CEO; Brian Domeck, our CFO; and also on the line is Bill Cody, our Chief Investment Officer. Call is scheduled to last about an hour. Statements in this conference call that are not historical facts are forward-looking statements that are subject to certain risks and uncertainties that could cause actual events and results to differ materially from those discussed herein. These risks and uncertainties include, without limitation, uncertainties related to estimates, assumptions and projections generally; inflation and changes in interest rates and security prices; the financial condition of, and other issues relating to the strength of, and liquidity available to, issuers of securities held in our investment portfolios, and other companies with which we have ongoing business relationships, including counterparties to certain financial transactions; the accuracy and adequacy of our pricing and loss reserving methodologies; the competitiveness of our pricing and the effectiveness of our initiatives to retain more customers; initiatives by competitors and the effectiveness of our response; our ability to obtain regulatory approval for requested rate changes and the timing thereof; the effectiveness of our brand strategy and advertising campaigns relative to those of competitors; legislative and regulatory developments, including but not limited to, healthcare reform and tax law changes; disputes relating to intellectual property rights; the outcome of litigation pending or that may be filed against us; weather conditions; changes in driving patterns and loss trends; acts of war and terrorist activities; our ability to maintain the uninterrupted operation of our facilities, systems and business functions; court decisions and trends in litigation and healthcare and auto repair costs; and other matters described from time to time by us in other releases and publications. In addition, investors should be aware that Generally Accepted Accounting Principles prescribed when a company may reserve for particular risks, including litigation exposures. Accordingly, results for a given reporting period could be significantly affected if and when a reserve is established for one or more contingencies. Also, our regular reserve reviews may result in adjustments of varying magnitude as additional information regarding claims activity becomes known. Reported results therefore may be volatile in certain accounting periods. We are now ready to take our first question.
Operator: (Operator Instructions) Our first question is from Josh Shanker with Deutsche Bank. Your line is now open.
Josh Shanker – Deutsche Bank: Well, good morning. My first question, I’m interested to know the schedule and what the plans are for potentially new marketing campaign beginning in 2011 in terms of whether you are introducing a new ads, (inaudible) what not – the plans mostly television-oriented?
Glenn Renwick: Yes, I’m happy to talk about that. I don’t think we have said too publicly about this, but as we go into next year, we will complement or augment which we might choose current superstore campaign with another campaign that we now have developed, and are quite excited about it. We’ll just be very little bit of consumer testing in the fourth quarter, but you will see that more as a companion piece to our current superstore campaign, we’re very happy with superstore campaign, and we have several new ads that have yet to be shown, as well. Some of those will start to appear in the fourth quarter. But we have a couple of rounds that mostly new material. So as we look forward to the first quarter of next year, which as most of you know, is very important quarter or time of the year for buying. We really have a nice inventory of the superstore campaign and something additional to add to that. Along with that, we actually expect probably later in the first quarter, maybe around the cusp of the first and second quarter, to be going more national with our Snapshot advertising. So we have some Snapshot advertising designed already and available for a local market test but we’ll wait until we have a slightly increased number of states with our Snapshot. We’ve got 24 there in direct today. I think we put that in the 10-Q, and we’ll have at least 75% of the country covered by that offering, and we’ll nationally advertise it around the end of that quarter.
Josh Shanker – Deutsche Bank: Currently, the local ads available for online (inaudible) at this moment?
Glenn Renwick: I’ll tell you what, during the time of this conference call, I’ll get an answer to that. I would’ve said yes, but I’m not sure. So maybe we can get that answer during the call and I’ll get back to you.
Josh Shanker – Deutsche Bank: Thank you. And the other question was, I was interested in knowing what’s going on in the newer spaces, both Massachusetts and New Jersey in terms of growth, profitability of that growth, and what not.
Glenn Renwick: You want to comment on that, Brian?
Brian Domeck: Relative to Massachusetts, I think we have previously mentioned that upon first entry, we got a little bit of concern in terms of our rate level and rate adequacy, and have, since entry, raised rates more than a few times. We now feel we are closer to rate adequacy, but we continue to still monitor that. It has been a challenging state. But as I mentioned, we think we’re closer. As a result, obviously, as we have raised rates, new application counts are much lower than our first point of entry, but we feel much more comfortable about the current rate level and ongoing profitability in terms of that. In terms of New Jersey, New Jersey is also one of the states with personal entry protection where we had a few issues in terms of profitability, and over the course of the last year, have also raised rates to a fair amount. And again, we feel closer to profitability and rate adequacy, and certainly a little bit more in the direct channel than the agency channel in terms of that, and it’s one that we closely continue to monitor as we closely monitor all the states that have personal entry protection, which we have mentioned particularly early in the year had a fair amount of increase in frequency, which actually in the third quarter, actually moderated a little bit, frequency being down on a year-over-year basis for aggregate . But all of those states, and they tend to be some of our larger states, we have a vast amount of due diligence we continue to monitor. But net net, for both of those states, Massachusetts and New Jersey, the emphasis is ensuring rate adequacy and profitability, and then from there, we will then worry about going with those states.
Operator: Thank you. Our next question is from Vinay Misquith with Credit Suisse. Your line is now open.
Vinay Misquith – Credit Suisse: Hi, good morning. The first question is on marketing spend. We’ve seen the new application growth start to slow to plus 4%. Just curious about what are your expectations on next year for marketing spend, whether you plan to keep it flat, down, or up?
Glenn Renwick: You might have to excuse me during the course of this conference call, it seems like the first cold season has hit Cleveland around about the same day, the first snow day here, so I apologize in advance. Our expectations for spend, Vinay, are always the same, that we will modify that based on our expected yields and our observed yields. So while cost of sale may change, we will modify our spend as best we can to reflect the yields we expect. So in terms of outlook for next year, we have no reason to expect that we’re going to do any dramatic change in our advertising spend. We’re very comfortable. I just outlined that we have some new material both in the current superstore campaign and a campaign that is linked to superstore, but has a very different perspective. So we’re actually excited about our creative, and as long as we get the results that we’re expecting, we will continue to reflect that in our advertising spend. So I’m not going to suggest it’s up or down. It’ll be reflective of the conditions. This year, you mentioned the 4%, there’s no question last year was a very aggressive year across the board, and I think many companies saw that in terms of new quotes or prospects coming to get a quote. This year, certainly towards the third quarter for us, quotes are more of a flat relative to last year, so we are comparing a 2010 year to a very strong 2009 year. The quotes are somewhat flat. We’re not getting quite the lift on year-over-year quotes that we might have expected. We’ve reported that our conversion is attractive and our retention is attractive. So the 4% is definitely down, but still a relatively acceptable result based on what we believe the quoting behavior is in the marketplace. And as we go into next year, frankly, I’ll just play the ball where it lies in terms of seeing if 2011 is a stronger year quoting-wise than 2010. But I do think ‘10 over ‘09 has been a little bit of an anomaly given the strength of 2009.
Brian Domeck: This is Brian. Just to add to that, we’ve talked about this a fair amount. In terms of advertising spend, we measure cost for sale relative to our target acquisition cost. I think I talked a little bit about that in June in terms of what we have incorporated in our pricing, and as long as cost per sale remains less than target acquisition cost, we feel comfortable with spending. And obviously, one of the things we try to measure as best we can in this work, it’s a little bit more difficult, is on the margin, on the incremental spend, but we try to have as much discipline as we can on the incremental and marginal spend, trying to assure it’s meeting our objectives, and in certain, trying to ensure that we stay true to the aggregate measure of 96 combined ratio or below.
Vinay Misquith – Credit Suisse: Okay, that’s great. My follow-up question is actually on the competitive trends. Are you seeing competitors raise pricing less now than they were in the past? And do you think that’s negatively impacting shopping behavior near term?
Glenn Renwick: Looking at an aggregate in fact a scatter plot of many competitive pricing changes, I would say we are still seeing very slightly positive rate change. During the last several months, we have had a couple of large competitors go in different directions, one taking rates up a little and one taking rates down. But overall I would say rates are still slightly positive, but slightly may be the real emphasis there, Vinay, and I think that to the extent the consumers are not getting as disrupted by the renewal quote from a larger number of companies, it could very well be a reason that people have less of an impetus to go out and shop. That’ll obviously put a greater emphasis on the catalyst that we employ to suggest that shopping is in their best interest. And something certainly, not the only thing, but something where somewhat excited about for next year is our snapshot that we’ve talked about, simply because it provides another reason, over and above the reasons that have been in the marketplace, for people to reconsider their options. So we’re excited to be able to have that and really look forward to that getting up to full speed.
Operator: Thank you. Our next question is from Keith Walsh with Citi. Your line is now open.
Keith Walsh – Citi: Hey, good morning, everybody. First question, around policy duration, you talked about this in the Q and direct continues to be positive, but it’s decelerated the past several quarters while agency has accelerated. So maybe you could talk about the dynamics behind both of these channels. And then what are the key data points that drive how you estimate policy duration? I’ve got a follow-up after that. Thanks.
Brian Domeck: In terms of policy, our key measure is policy life expectancy. And so that you can think of as the average expected length of policy life and we currently measure in terms of months as our denominator. Hopefully someday we’ll get to more of a measure of years, but right now it’s in terms of months. And in terms of agency being a little bit greater in terms of percentage increase versus direct, one of the reasons for that is, and we’ve mentioned this a little bit, in terms of our new application growth in the agency channel, we are seeing a greater percentage increase in what you might call the more preferred market, those that tend to stay with you longer. So by writing more of the preferred auto business we are seeing a continued increase in aggregate policy life expectancy in the agency channel. I’ll mention also, in direct we continue to see some increase in terms of the policy life expectancy. Year-over-year is now up 2%, and you’re right, it is a slowing increase, but it still continues to increase. And right now, our policy life expectancy in direct in terms of just absolute months is slightly higher than the agency months. So in terms of that, that’s also a factor in terms of the percentage growth that we can obtain. But we’re pleased that both are growing. Measures that we look at in addition to absolute policy life expectancy, we look at what we call like the decay curve throughout a policy life. So what percentage of policies are staying with it one month after they’ve incepted, four months after they’ve incepted, we pay particular attention to what we call renewal rates. What percentage that receive a quote retain with us or renew with us. So we look at retention rates throughout the whole decay curve and from that is how we extrapolate the average policy life expectancy. And we try to influence what we can throughout that whole decay curve and it could be things that we do in terms of on-boarding policies, and that might be more applicable in the direction and the agency channel, things that we do as policy holders are with us both in terms of policy servicing, claims activities et cetera and then, trying to make the renewal event a good renewal experience for folks. So, we look at all of them. We try to improve along the way and net net we are pleased with the increase in policy life expectancy but certainly not satisfied and we want to see it continue to increase.
Keith Walsh – Citi: That’s great.
Glenn Renwick: On slight addition to that is that we’re also focusing on and deploying what we’re calling loyalty programs that sort of recognize that not all renewals are created equal but as you stay with us longer and your tenure is longer, there are more recognition and rewards for that type of behavior.
Keith Walsh – Citi: And then, the second question just on the direct side, new applications up 6% in the quarter but there were up 15% year-to-date. Maybe if you could talk a little bit about deceleration there.
Glenn Renwick: Yeah. I think the answer previously that the ten over nine is not as strong a year in terms of consumer shopping behavior as we would best measure that. Let me give you a couple of thoughts, I think this is always a difficult story to put together with perfection. But we now have, we, everybody now has more day there on what I’ll call for the same store sales than we probably ever had at least in most of the time in insurance. So if you took something like Google searches for things that are related to insurance and the active buying, you would see that actually last year was a pretty strong year, it doesn’t seem to be as strong this year. Well, that’s just a point and very high to reconcile and triangulate from that point. But it’s the basis by which I at least come to a conclusion that consumers are not as active this year as they were last year. Having said that, we said previously that our quotes are closer to flat. There are several other sources out there that we talk about unique visitors. Unique visitors are actually up this year to insurance sites but some of that is servicing. In fact, a fair amount of it is servicing so we’re trying to push more and more about customers to servicing. So that’s not one that I necessarily look at too much. It’s great that it’s up. But it’s up for a lot of different reasons not just shopping. So we look at quotes and I think the industry numbers and some of that report would say quotes are about flat and we wouldn’t dispute that and that seems to be about what we’re generating from that. Brian just mentioned that our retention is up and our conversion is up. So with quotes up just a little for us and those two factors, we’re able to get the 6% growth. Yes, we would love more but relative to what we see at the market, we think we’re getting at least if not this year and at levels that we would have expected. How that proceeds into next year, it’s hard to tell but we also have sort of a less denominator right now that will probably flow through a little bit and get normalized in the first quarter next year. Having said all of that, in no defensive way at all but 15% new business growth or certainly 15% policy enforced growth, is always going to be high to maintain that momentum unless you really have a lot of new business growth, that doesn’t mean that we’re not set on trying to do that. But there will be some decline in that and I think certainly (inaudible) within this year’s denominator be a little bit more normalized relative to growth over last year. We’re going to see that in everybody’s numbers. Just comment here to Josh that Rival Driver is the name of the commercial I was referencing for local use in some Snapshot markets not just yet nationally and that is available on progressive.com.
Operator: Thank you. Our next question is from Raymond Ardella [ph] with Oppenheimer. Your line is now open.
Raymond Ardella – Oppenheimer: Thank you. Good morning. Just a quick question, I was wondering if you can may be talk a little bit about growth in profitability and maybe the California or Florida and New York markets and then, give us an update on what you guys are doing I guess on the rate in front on those markets.
Glenn Renwick: Yes. Let me take those in a couple of order. The California marketplace for us to be fair, our agency business there has not been generating the kind of growth that we would prefer and like. We’ve made several changes in our rates and presentation to the market place and I’m starting to see some return to growth in our agency marketplace in California. Again, to be very fair, we’ve got plenty of room to grow to catch up to levels that we believe we can achieve. So California is actually starting to look quite brighter on the agency side from a growth perspective. The direct has done very well, did very well last year and it’s maintaining that but not necessarily at significant clips above the prior year. But we’re happy with the performance of direct in California and actually quite excited about some renewed growth in our agency business. And we look forward to that state being a little bit more of a contributor to 2011 grow because it really hasn’t been at least an agency for this year. Florida, we discussed in a couple of different calls and written material. Florida frankly, for the most of this year and even latter part of last year was really to make sure that we got on top of the pip [ph] emergence that we saw there, we’ve taken a lot of rate action, we’ve taken a lot of underwriting actions that we feel are all appropriate for that marketplace. Those are in place and without disclosing more than we normally we disclose, I would tell you that we are much more comfortable with the profitability in Florida in recent months. And again, my expectation would be that Florida could be a much stronger contributor to growth for 2011. So as we look into 2011, I talked about some of the advertising type things. Florida and other large states that haven’t being big catalyst to growth this year, it could be a different story next year. Again, that’s not the guidance, it’s just what we always wanted to get our big states position very well and Florida hasn’t been and we’re more comfortable that is heading in that direction. New York has had a lot of action for over a long period of time. Still some areas that we would like to see New York profitability be improved a little bit over what it’s currently doing. But both channels there are in a similar situation and probably with a little bit more work that’s already going on, I look forward to better results in New York as well but not nearly the problem that has been in different times in the past.
Operator: Thank you. Our next question is from Doug Mewhirter with RBC Capital Markets. Your line is now open.
Doug Mewhirter – RBC Capital Markets: Hi, good morning. Just two questions; the first is in your past presentations, you said you’ve been trying to target maybe a slightly more upscale costumer or one that maybe fit the profile, one that would be more likely to be retained at renewal. I noticed that in your 10-Q, you said that your average premium for policy in the direct channel was down slightly and you attributed that to mostly a business mix where they – you were there buying (inaudible) limits. Is that a slight change in the customer profile or is that a similar type customer just buying lower limits on the margin?
Glenn Renwick: No change to the original comment and when I say target upscale, I think we really hopefully say increase our target to include a more upscale buyers because we really are in a position now to offer product to every motorist on the road and that’s a goal for us, and that continues to be very true. Brian mentioned earlier that our agency business, which has actually shown some nice growth is also providing a good lift in some of the preferred customers and that’s really delightful for us. The average premium as you see is different in agency, but flat in agency, down in direct. I wouldn’t read too much into that. There’s a lot of factors going on there. Clearly, there are mix of what people buy. This geographic mix, I just finished saying that some of our largest states, specifically Florida, which is by far our largest state, has not been a major growth straight and it’s a higher premium state. So there are a lot of factors that go into average premium and while we try to explain that in some general mix context, which is absolutely correct. If I were you, I would take away a slightly different view. We target to a 96 and we try to get that in every market in every segment of customers and that’s more important to us than overall what happened in average premiums as long as all of the targets, all of the states, all of the individual pricing tiers, we get as close to our target as possible then we’re very comfortable. Now, a declining average written premium clearly has some negative effect on expense ratio and would all like the opposite to that. But I’m very comfortable and I’m very happy growing in all of those segments as long as we’re getting the targets that we shoot for. And the minus three in direct is just a mix adjusted outcome. It’s not something that is sort of an input.
Doug Mewhirter – RBC Capital Markets: Okay. Thanks for that. My follow-up question is regarding the legal environment in Florida with the elections there seem to be changing in garden [ph] Florida or coming up next year and the incoming governor seems to be fairly insurance friendly. He had a couple of comments when he was campaigning about things like total reform and homeowners’ insurance reform. Is there anything in his, I guess his platform that would seem to be more specifically friendly to the auto insurance tort environment, quick reform or anything or any type of medical or liability tort reform?
Glenn Renwick: I would at this stage, prefer really not to comment on that, not because I don’t want to comment, I just such as let it play up. Progressive will play in any environment as long as we understand the rules and the rules are applied consistently, while at the very personal level, I have views on different things at different stage. We have to deal with 51 jurisdictions, and we find ways to do present our products, and do what we think is right for the consumer and as many as possible. And while these things are important, they’re not necessarily things that drive our behavior until we get a clear view of exactly what’s going to happen. We’re probably looking at something like about 20 new commissioners across the country post the election, three elected, I think that was Oklahoma, Georgia, and California, and then you probably got about 17 of those is the estimate I’m working with. So there’ll be some regulatory changes but generally, I just don’t think that’s going to change our game plan in any significant way at all.
Doug Mewhirter – RBC Capital Markets: Okay. Thanks a lot. That’s all my questions.
Operator: Our next question if from Vincent D’Agostino with Stifel Nicolaus. Your line is now open.
Vincent D’Agostino – Stifel Nicolaus: Hi, good morning all. Just looking at the Snapshot discount now that you are in some more states and gaining additional penetration, any sense what the average discount is starting to look like? And then I just have one follow-up, please.
Glenn Renwick: Yes. Please don’t take this as being rude. We do, and I’m not going to be, perhaps, as open with Snapshot details as we have in other situations because this is clearly something that we feel we have something unique in the marketplace, that entitles us to understand it well without necessary communicating all of the issues. So I will tell you that the take rate on Snapshot has met, maybe slightly exceeded our expectations, our expectations being set not on a wealth of data but on prior versions. So Snapshot has been very well received in that regard, which I point out only because our prior versions had an upfront discount, Snapshot does not. So interesting that would result net outcome, but our estimates of discounts have been off just slightly from our original expectations but not in any concerning way. And the quality or the class of people showing interest in Snapshot again, is slightly more preferred, which is very pleasant for us. It’s another way to get into a part of the marketplace that (inaudible) know that we want to be a much bigger player in. We have a lot of the tools necessary, but this one could be very helpful for us to getting into that, and at this stage, average discounts, we’re just not going to disclose publicly.
Vincent D’Agostino – Stifel Nicolaus: Then just for the follow-up, you had mentioned earlier in the call, in the 10-Q filing that you are seeing favorable severity trends as well as flat frequencies. I guess what this stands out plus is that I guess you have lost cost trends and shifted decidedly [ph] more unfavorable this quarter, and without discussing the results or observations of a competitor, are you anticipating any meaningful frequency or severity pressure within your book, and then your future. Thank you.
Glenn Renwick: I’ll let Brian, maybe comment on that. A way that I think about this, which has been useful to me as we went through our own diagnosis here, is that at the end of 2009, we essentially thought for claims in 2009, but they would be about 3% higher severity than the claims form the year before, 2008. And again, I’m just going to give you my personal views here, that from a pricing perspective as a product manager, having done a lot of rate revisions, that was always a very comfortable number, if not 5%. So I always think about medical claims with severity getting more. So we had in our estimates, for reserving that 2009 claims will be about 3% more than 2008. Now, with the benefit of data and time, we recognize that those claims for 2009, actually settled at roughly the same amount as 2008, about 0.1%, if I remember correctly, higher than 2008. So clearly we had overestimated, I’m just seeing some of that release now, so most of the release is really accident year 2009 and if there’s any skew in there, it’s to the higher limits. As we go forward, we’re still estimating claims to be sort of at least 1% to 3% higher than the prior period comparison, and I think that’s a very responsible thing to do when you don’t have any information to the contrary because there’s no good reason to believe that those will be less. But as I just pointed out, our estimate for 2009 claims ended up to be high and you’re seeing some of that release now. What do I think going forward? I think we sort of watch it day in and day out but it doesn’t appear that bodily injury severity is sort of rocking in a way, it didn’t seem to follow the pit [ph] trend with some concern earlier in the year. Brian, you want to talk a little more about it?
Brian Domeck: Yes, just a few additional comments. You’re right in terms of our frequency being relatively flat and that’s a little bit decompose into collision being modestly down and bodily injury and property damage on a year-to-date basis being up slightly. On the severity front, we continue to see a small, small decrease on the collision severity and aggregate severity down 3%, a large part of that is driven by bodily incurred severity for the year being down. Some of it as a function of the favorable development as Glenn mentioned that we have seen and we’ve pointed out that so far this year, we’ve had $1 million [ph] of favorable development, some of it in [inaudible] cost, containment cost, about fair amount in bodily injury coverage and again, most of that is attributable to the 2009 accident year. But that is faster than to that minus 3% severity that’s in the Q.
Glenn Renwick: I think we can all expect at some point and this should be a little bit more correlated with new automobile sales that ultimately the age of vehicle on the road will start to change. It’s been declining. It will start to change and that will be reflected in PD and collision severities over time just to make sure [ph].
Vincent D’Agostino – Stifel Nicolaus: Great, thank you.
Operator: Thank you. Our next question is from Ian Gutterman with Adage Capital. Your line is now open.
Ian Gutterman – Adage Capital: Hi, there. I was just thinking about, few years at an investor day when you talked about the different segments of customers from sort of the single drivers to the family with the multiple cars in the home and so forth. When you look at your current customer base, do you just have to kind of wait for someone to call you and say I got married, I want to add a second driver or we bought a home, we want homeowners insurance. Or are there things you guys can do with your data to try to perspectively identify who’s going to move up into those more desired tiers of – go from standard to preferred overtime, go from one part to multiple parts overtime? Are the things you could do to try to identify those customers and maybe give them better rates so they will be long-term Progressive customer?
Glenn Renwick: Ian, I’m glad you remember the customer segments because they do effect our thinking a great deal internally and I am going to answer sort of with a little bit looser answer. We are much more at tune now to those customer segments since we introduced them and do a lot of marketing around those. The transitions between customer segments are something we’re very aware of. I would say there’s a lot more that we can do to be quite as predictive as you’re suggesting in terms of life events. We do have a lot of other life events that we try to predict and contact our insurers prior to and that’s an area of marketing that I think we’re getting stronger in and still, I would value in all fairness, we’ve got a lot of opportunity to get better at. With regard to homeowners, I think I’ve mentioned this before but it does get somewhat at your question. The majority of our homeowners business actually comes from people that are already in (inaudible) business. So the cross marketing is actually something that’s very important to us. There are other life events that I just acknowledge that I think we can get better at. Another area that we actually do quite well in is cross marketing with our special lines customers. We do have historically a much more preferred book of business and have special lines whether that be the motor home, motorcycle and we’re definitely reaching many of those specifically in our direct book where we have more appropriate contact with the insured to be able to invite them to (inaudible) customers well.
Ian Gutterman – Adage Capital: Okay. And then, related to that is if you see that someone has moved up into that more complicated type customer with multiple needs, do you feel you can handle that as close as you want to in the direct channel or is there a point where you want to or are you unable to maybe – is there a point where you want to hand them off to a signature agent that this area being that – they’re at the point where they probably going to want an agent anyway. Let’s try turning them over to one of our signature agents rather than just walking into the local industry and maybe leaving Progressive. Or do you have the capabilities in direct that they’re not going to want to make that choice?
Glenn Renwick: I would say we have the capabilities right now but I won’t foreclose the fact that there are people – that we’re very comfortable there are people that like to have an agent fairly for lots of reasons and their situation is slightly more complicated that’s fine. We’re very comfortable. There are individuals. I would say I’m one that that feel very comfortable just buying online and servicing online and frankly quite comfortable with that outcome. There may very well be a class of customers that start at a comfort zone, but as their needs get more complex, they may need an agent. Those sorts of things are definitely things that we would look at. It’s not something we’re doing today proactively, but if that was in the best interest of the customer, we would probably find ways to make that happen.
Operator: Thank you. Our next question is from Brian Meredith with UBS. Your line is now open.
Brian Meredith – UBS: Yes, good morning. Two quick questions for you. The first one, Brian, is it possible to get what the year-over-year impact of the increase in the gain share accrual was on the other operating expenses?
Brian Domeck: We don’t talk specifically about what the effect is on the expense ratio annually, because remember, the gain share would apply to the pricing of those component pieces. But obviously, it’s up significantly in terms of the accrual. And if you can think of the magnitude between the two lines, it’s something close to about nine tenths of point, something like that, between LAE [ph] and the expense ratios, it’s in two lines. But if you take our year-to-date numbers, that’s about the effect.
Brian Meredith – UBS: Great. Thank you. And then the next question, back on the severity topic, just quickly here on the physical damage side. Wondering if you’ve got any kind of statistics or you look at what the potential impact of the rising commodity prices that we’ve seen over the last, call, three to six months could potentially have PD severities going forward.
Glenn Renwick: Fair question, but I think the answer’s no. We certainly haven’t got that kind of linkage to commodities market. We’ll get to observe them frankly, maybe not the most sophisticated answer in the world, but we just try to observe what we see and what we pay and how those costs factor through. And given the number of checks we write every day for physical damage, that’s not something that we’re going to miss by any significant time frame. We’ll see those changes come through pretty quickly, if (inaudible).
Operator: Thank you. (Operator Instructions) Our next question is from James Engle with John W. Bristol & Co. Your line is now open.
James Engle – John W. Bristol & Co.: Hi. My question is where are you in terms of your progression with version 8.0 and the segmentation pricing strategy? And how was that played out?
Glenn Renwick: Can someone give me the number of states, 14? I think we’re in 14 states. I’ll just check that right now from memory, 14 states with our version 8.0 or what we call "Integrated Product," and continuing to roll that out. So we are very comfortable with that. We’ve put another, I think it was five states since the second quarter, and we expect to put more this quarter and we should be well into the full country-wide rollout first quarter or second quarter next year.
James Engle – John W. Bristol & Co.: And is it meeting all expectations?
Glenn Renwick: It is. It is, and the R&D group, for some of you who got to meet Jim Hass at our June meeting, we already have, and it’ s just the natural course of things, we don’t perhaps read too much into it, but we already have new ideas that we’re able to incorporate into this platform, so there’s an 8.2 and an 8.3 already planned. So not only in the rollout is the product rolling out, the general platform is rolling out, but it’s also improving as it goes along. And the simple answer to your question, yes, it’s actually meeting all expectations, doing a nice job and helping us with some of the comments we’ve made during the course of this call with regard to preferred customers. So it was directed a little bit to attract more preferred customers and to meet their needs.
Operator: (Operator Instructions) Our next question is from Vinay Misquith with Credit Suisse. Your line is now open.
Vinay Misquith – Credit Suisse: Hi. Just one more follow-up, please. Could you talk about the total cost of the package of homeowners plus order insurance versus competitors? And in thinking of this, would it be fair to assume that the pure homeowners product offered by your affiliates may be slightly more expensive than our traditional carrier who might have more economies of scale and more of a vested interest in keeping dual policy customers? So how does homeowners plus auto just compare with peers?
Glenn Renwick: I can see that reasoning, and when you start comparing prices, it’s always all over the board. I think the way I would address that is that as we got into this marketplace, we didn’t necessarily have quite the same level of multi-policy discount that others might have, if they’re offering both products themselves, in other words, a discount on both the homeowners and the auto. That is something that we are now in a position to do. So I think to the extent that we perhaps had any kind of impediment there to be not quite on the same grounding as ultimate cost to the consumer, we’ve resolved that and that will actually be rolling out over the next several months and we’re comfortable that that will put us on a very equal footing and attractive footing. I think the results that we’ve been able to achieve have actually spoken to the sense that the combination of auto and home that we offer as a package has been an attractive price in the marketplace. Perhaps an additional discount can only serve to improve that. Another element that is not necessarily price-related but of interest is that we will be able to do what we’ll call multi-product quoting. So instead of thinking of this as an auto and then a home which are two somewhat separable actions, we’ll be able to integrate the quoting process for individuals. So the answer that I give to you is that generally we’ve been very competitive, we’re moving now to have both multi-product quoting and multi-product discounts available, two very important steps. So we continue to be quite excited about our penetration into that marketplace, and it certainly seems to be working.
Clark Khayat: Looks like that was our last question, so we’ll move to close the call.
Operator: Thank you. That concludes the Progressive Corporation’s Investor Relations Conference Call. An instant replay of the call will be available through November 26 by calling 1-800-262-4947 or can be accessed via the Investor Relations section of Progressive’s website for the next year. Thank you for joining. You may now disconnect.